Rajeev Sethi: Sure. Thank you, Christopher, and good afternoon, everyone. And thank you all of you for joining in today. Today is an important day. It's the first full quarter of XLSMART's journey. Just to remind you, our merger happened 15th of April -- 16th of April. So the last quarter was 2.5 months of combined operations. This time, it's the first full quarter, and the numbers which we are reporting are a result of that. And I'm pleased to share that the momentum continues to build across our businesses. We've delivered a strong performance. Revenue -- reported revenue is up 38% year-on-year, 9% quarter-on-quarter, underpinned by very strong subscriber quality, improving ARPU and good progress which we are making on the integration. Network integration specifically is progressing well. As you would know, national roaming for Smartfren customers was completed in record time. The MOCN rollout continues to expand, improving both coverage and quality for all our customers. Financially, we are seeing a very healthy growth, underlying growth. Normalized EBITDA and PAT reflect the strength of our core businesses, though the reported results still include temporary one-offs, which are normal for a merger, and they are related to integration and asset optimization. Synergies are taking shape. We'll speak a bit more about that in the next few slides. And we are accelerating value creation across operations, procurement and infrastructure. These initiatives are moving us steadily towards our ambition to become the industry's most efficient and agile service provider. Overall, I believe this quarter demonstrates resilience and strong execution as XLSMART continues to unlock long-term value from the merger. If I move to the next slide, post-merger, our integration engine is running at full speed. One example of that is our Customer Experience and Service Operations Center, CESOC, which was launched in July, a major milestone that allows us to centralize network monitoring, service quality and field operations across all the 3 brands we have. On the network side, we've started and progressed significantly towards consolidating overlapping sites, streamlining our vendor ecosystem and optimizing the tower utilization. All these efforts are resulting in tangible cost savings. I'm happy to report that we are on track to deliver between $150 million to $200 million synergies for this financial year 2025, largely coming from operational efficiencies and vendor rationalization. Full benefits, what we spoke about earlier, $300 million to $400 million run rate pretax. That will come from -- after the integration is complete, but good, solid start towards that direction. Obviously, the next in pipeline would be the IT system unification, which again would be a significant value generator, office integration and expanding our partnerships on the roaming side. And we'll also further align the organization to operate as one unified XLSMART. If I move to the next slide, please, which is talking about the customer experience. As we said earlier, customers and employees will remain at the forefront of whatever we do. Both quality and coverage of our network would be super important in this regard. And through MOCN integration, all 3 brand users, XL, AXIS and Smartfren, are experiencing much better download speed. They have gone up by as much as 70%. And the population coverage, specifically for Smartfren, has gone up by 38%. These network improvements translate directly to a better quality of service, which is a very key differentiator in today's competitive network telecom operations. We also celebrated our National Customer Day in September with nationwide campaigns through XL Point and SmartPoint, reinforcing our commitment to customer loyalty and engagement. We received significant positive feedback, and which is a clear sign that our investments are making a real impact on the ground. If I move to the next, which is on the network update. We have now integrated over 15,000 sites, which is close to 1/3 of the number of sites which we have to integrate, and extended network access for Smartfren users to 192 cities through national roaming. Our total BTS count reached more than 209,000 sites, up 27% year-on-year, with majority being on 4G. MOCN integration is on track to complete by the first half 2026, which is within the 4 quarters of the start of this project. And the results are already visible, as I spoke about earlier, better coverage, higher speeds and more consistent services across geographies. If I have to cite an example, this was the 2025 MotoGP event in Mandalika, where our network handled massive traffic volumes very easily, proving our readiness to deliver world-class connectivity across the country. If I move to the next slide, which talks about the 3 growth pillars. And this is something we've been talking about and we are very excited about. The 3 growth pillars, Mobile, Enterprise and Home. And each pillar by itself represents a focused growth engine, and it has a distinct strategic focus. But collectively, all of these will contribute to company's mission of connecting every Indonesian to a better life. If I talk about the first pillar, which is Mobile, it is represented by our 3 brands, XL, AXIS and Smartfren. I strongly believe that the multi-brand approach enables us to effectively target different customer segments, and it's a unique strength we have as compared to other operators in the market. And post integration, we have seen encouraging momentum driven by a simplified starter pack strategy and optimized product offerings, which is supporting a stronger market recovery and I'm sure will help sustain future ARPU growth also. We're also driving digital engagement through all the apps we have on XLSMART, MyXL, AXISNet, mySmartfren, which is now reaching more than 39 million active users on a monthly basis, which is up 21% year-on-year. This, of course, helps in improving customer stickiness and monetization. The second pillar is Enterprise, which we work under the brand XLSMART for Business. Here, our focus is to become a trusted partner for Indonesia's digital transformation for both private sector and also the government clients. A key milestone in this journey was the launch of ESTA Enterprise Smart Technology and Automation, which was launched in July '25. ESTA provides a full suite of industry solutions across connectivity, IoT, cloud, cybersecurity and automation. This will help position XLSMART not just as a telco, but as a strategic ecosystem partner, enabling digital transformation beyond connectivity. The third pillar is Home, anchored by our brand XL SATU, which continues to gain strong traction in Indonesia's fixed broadband market. We are reinforcing our position as one of the leading fixed broadband providers by focusing on user experience, flexibility and family-oriented solutions with the effort to stabilize the ARPU. XL SATU continues to drive deeper household penetration and strengthen customer loyalty, which is a key differentiator in this competitive market. So if I have to summarize, XLSMART's growth is fueled by these 3 complementary pillars, Mobile, Enterprise and Home, each targeting a unique opportunity while collectively driving sustainable long-term growth for the company. If I move to the next slide, Slide #9. It's talking a bit more about the enterprise business. And as I said, this is expanding rapidly, powered by the launch of ESTA. And it's a comprehensive digital suite, as I spoke about earlier. We also hosted BRAVO 500 Summit in collaboration with Ministry of Digital and Information, bringing together 500 of Indonesia's leading corporations. Our enterprise solutions now reach key verticals such as financial services, manufacturing, logistics, health care and natural resources, combining ICT services and big data analytics to deliver smarter and more integrated outcomes. We believe momentum is strong, and we see continued opportunities and more industries accelerate digital adoption. I'll take a pause now and hand over to my colleague, Pak Antony, to walk us through the financial results.
Antony Susilo: Okay. Thank you, Pak Rajeev. I think the next topic will be the financial and operational highlights. Let me start with the operational performance first. So at the end of the quarter 3, our consolidated subscriber base already around 79.6 million customer base, reflecting a normalization following to our starter pack price adjustment, which is, I think, last -- the latest one that we did for Smartfren brand in the month of July or August. So all the 3 product brands starter pack already now, already adjusted. That's the situation on the starter pack price. Then on the -- what we call on the data traffic, I think despite of the decline in the subscriber count, the data traffic continued to grow, reaching to 3.9 exabyte or 3,900 petabytes, up to 53% year-on-year and 2% quarter-on-quarter. The ARPU improved to become IDR 38.9, blended ARPU, this one, from IDR 35,500 last quarter. This is a double-digit growth, which is around 10% Q-on-Q, highlighting our focus on -- focusing on the quality growth as well as the customer value. Okay. Moving to the next slide to the financials. The revenue grew by 38% year-on-year and 9% quarter-on-quarter to IDR 11.5 trillion, driven by the full quarter consolidation of Smartfren and higher mobile ARPU. The normalized EBITDA reached to IDR 5.4 trillion, up to -- increased 9% Q-on-Q and 24% year-on-year. This is reflecting the underlying strength despite of the ongoing integration costs. The reported PAT improved to a loss of IDR 1.38 trillion, while if you look at the normalized PAT, the normalized PAT already turned positive at IDR 1.15 trillion. This is, of course, after the adjustment of the one-off expenses, which is the accelerated depreciation, noncash item and also the one-off integration costs. The margins are stable, with the normalized EBITDA margin at around 47%. These trends actually confirms that the integration is progressing smoothly and the synergy already captured starting -- is already starting to flow through our financial numbers. Okay. Move on. This is maybe to give another explanation how do we calculate the normalized PAT, normalized profit after tax. In here, we are presenting both reported as well as the normalized EBITDA and PAT to provide a clear picture of the underlying performance during the integration period. The normalized figure already exclude one-off items such as integration costs. Number two is the accelerated depreciation, which is related, of course, to network consolidation. And then in Q3 2025, you can see that the reported EBITDA was IDR 4.9 trillion, with the normalization adding from IDR 554 billion in integration expenses. So it brings to the normalized EBITDA to around IDR 5.4 trillion. The reported PAT stood at a loss of IDR 1.38 trillion. But after adjusting all these integration costs, accelerated depreciation and asset impairment, the normalized PAT become positive at IDR 1.15 trillion. This approach basically to ensure we want -- if we want to compare with the previous year. So this is to show a better comparability and better to reflect the company operational performance. Okay. Move on to the next slide. So let me now walk through on the cost structure, our operating expenses. So OpEx increased by 10% quarter-on-quarter and 66% year-on-year, reaching to IDR 6.6 trillion in the third quarter 2025. This increase reflects the enlarged scale of our business because it's a consolidation of Smartfren and XL. So this is already including the -- including a higher infrastructure as well as the regulatory costs, as well as all the integration related activities. Of course, we remain disciplined on the cost management, ensuring that all the expenditures are tightly linked to the synergy realization and also creating long-term values. So that's the end of my presentation. I shall now hand over back to Pak Rajeev to provide the full year 2025 guidance, as well as the closing remarks.
Rajeev Sethi: Sure. And thank you, Pak Antony. As Pak Antony mentioned, I'll talk about what's our guidance for 2025 full year. Revenue is expected to grow broadly in line with the market. On a reported basis, growth is expected to be between 20% to 25% year-on-year. EBITDA margin will remain between low to mid-40s range, mid- to 40% range. On CapEx, the capitalized CapEx is projected to be around IDR 10 trillion. And I think it requires a bit of a clarification. This is not a reduction in the investment. If you remember, when we spoke last time, we spoke about a number close to IDR 20 trillion. The orders which we'll be releasing to our vendors would be still close to that number. But what we'll be able to capitalize, which is put on air and start using, and therefore capitalized, would be a number which is close to IDR 10 trillion. And that's the number which we are stating here. The capitalized CapEx would be around IDR 10 trillion for this year. Synergy guidance, last time when we spoke, we gave a guidance of between $100 million to $200 million for this year. This year, we are revising it to the upward part of that guidance between USD 150 million to USD 200 million. It's driven by stronger-than-expected network and vendor efficiencies. We also remain on track to achieve our full synergy potential of $300 million to $400 million annually pretax once the integration is fully completed. And with this, our summary for the third quarter '25 ends, and I hand it back to Chris to take it further.
Christopher Kusumowidagdo: Thank you, Pak Rajeev and Pak Antony for the presentations. [Operator Instructions] The first question comes from the line of Piyush Choudhary from HSBC. There are two questions. The first one is -- sorry, there are three questions. The first one is what is the like-for-like -- like-to-like mobile service revenue growth Q-on-Q in third quarter 2025, as 2Q does not have the full impact of merger? I think -- then second question, what is the breakdown of revenue in 3Q into your 3 segments, Mobile, Enterprise and Home? And the third one is normalized EBITDA margin is 47%. Where do you expect normalized margin to be, post-merger integration? For these questions, I would like to invite Pak David to answer the first question.
David Oses: Okay. I'll take the first one, Piyush. So the like-to-like mobile service revenue growth quarter-on-quarter will be at 5%. Like-to-like will be at 5%. To the second part of your question about the initiatives taken to increase the mobile ARPU, I can share that, as you can see, we had a double-digit ARPU growth quarter-on-quarter. This has been done by many things, but we have taken out a lot of freebies. We have increased prices by taking discounts out. We have also increased minimum prices, especially in our personalized offers. So we have done a bunch of things in our very clear strategy to focus on quality subscribers. Now you can see, I think you can calculate as well that the yield, the revenue per gigabyte has increased high single digit, well, around 6% quarter-on-quarter. So the yield increased 6% quarter-on-quarter. This means that the revenue that we are getting for each of the gigabytes is increasing, that our prices per gigabyte have increased. So out of the ARPU double-digit growth, from 10%, we can say that more than half is due to the price increases. The other comes from more usage per subscriber. And again, how did we increase the prices? As I was saying, taking freebies out, increasing prices literally nominally, taking some discounts out, increasing minimum prices in personalized offers, et cetera, et cetera. For the second question, I will pass it to our CFO.
Antony Susilo: Okay. The second question is about the breakdown of the revenues into 3 segments, Mobile, Enterprise and Home. I think just to give rough figures on the Mobile segment, it contributes around 80% to 82% contribution of revenue. And then Enterprise is around 10%. And Home is the smallest one. It's around, I think, around 6% -- 5% to 6%. So I think that's the breakdown of the revenues. And then number three, the question is about the normalized EBITDA margin, which is 47%. Where do you expect normalized margin after post-merger integration? Okay. So I think we know that this normalized EBITDA margin is already taking out the integration costs, which is, I think, what contributes a significant amount. But I think post-integration, which is after the next 2 years, 2028, I believe, because our plan to do the integration, everything to be completed within 8 quarters. So we are hoping that, of course, this EBITDA margin, 47% will even further improve because the company management always trying to do the cost efficiencies program, trying to make sure that we are aligned with the plan that we have, which is, of course, it's a cost efficiency program. So we are expecting a higher EBITDA margin similar to the other telco players.
Christopher Kusumowidagdo: Thank you, Antony. Can you [indiscernible]. Hi Piyush.
Piyush Choudhary: Could you also be able to share what's the breakup of your EBITDA margin among the 3 segments, Mobile, Enterprise and Home, at the moment? And one more, like David, are there any kind of incremental initiatives being taken in fourth quarter to further kind of enhance the mobile ARPU? And how are the kind of economic trends at the moment? If you can throw some light on October trends?
Antony Susilo: Okay. On the breakdown of the EBITDA per business segment, I think, unfortunately, we don't really make that specific analysis because most of the cost is a common cost. So I think we only measure the -- what we call the direct EBITDA -- the direct gross profit. But I think from EBITDA point of view, I think we prefer to do it as a total basis rather than doing it for 3 segments.
David Oses: Okay. So regarding this fourth quarter, yes, we have additional initiatives planned in order to increase the ARPU, one of them being price increases. So we are going to have, I would say, significant price increases in the different portfolios of our 3 brands in the coming weeks. As I was mentioning in our strategy of focusing on value customers, so far, it's looking good. So we are happy with the results. So we are going to continue in that direction. And the next step will be to increment prices of our value propositions, specifically in certain specific products. There was any other question?
Piyush Choudhary: Thanks, David. So have these price initiatives already been done in October, or it's something which is planned for future?
David Oses: So we are on it. So some small things have been done, some will be done almost -- I won't say as we speak, but relatively soon.
Christopher Kusumowidagdo: Let's move on to the next question from [ Irwin Vijaya ] from [ Adana ]. Two questions. First one is, are you going to distribute 100% of the proceeds from treasury share as dividend? And then second one is how much restructuring costs do you have left? Or when will things normalize? I think for both questions, we can -- Pak Antony can answer.
Antony Susilo: Okay. Thank you, Pak Irwin. I think -- yes, I think in terms of dividend, I think I forgot to mention it earlier on that one. So like this. I think there is no such relation in terms of the treasury shares that we sold, I think, last month with the dividend amount that we want to distribute. Yes, indeed, that the company was like to do a dividend distribution, which is I think we would like to seek approval from the shareholders where the EGMS will be done next week on Friday. So why the company would like to give the dividend distribution, I think as you can see in our Q3 performance results that it shows that actually, we are -- we can reach to a normalized PAT positive around IDR 1.8 trillion. So this is a healthier -- healthy indicators actually for the company because we can see that some of the performance, the costs, as well as the revenues is improving. So with that reason, then the company would like to distribute the dividends. In terms of cash flow, I think the cash -- how to fund these dividends, it's going to be done through our internal cash from the operations. Today, the company is sitting at a cash balance around more than IDR 4 trillion. So with that one, I think we are able to do a dividend distribution. So all in all, I think the dividends will be approved by the shareholders next week, waiting for the news for this to everybody on this subject. And then on the second question about the restructuring cost, actually, this is not a restructuring cost. I think if you are referring to integration costs because we are not doing any restructuring. It's only integrations. In terms of integration costs, I think you saw it from the slides that total integration cost that we have incurred this year until September 2025 is IDR 1 trillion. The target -- our budget for integration cost for this year is around IDR 1.5 trillion. So the remaining is around IDR 500 billion that maybe this one will be materializing in the next quarter, in the Q4. And when the things will be normalized, I think like I mentioned that the integration period will happen in the next 8 quarters. So I think this is the first -- the fourth quarter, 3 quarters already, Q2, Q3, actually second -- 2 quarters, actually. And then Q4, 3 quarters, hopefully, everything will be normalized starting 2027. Okay. So that's the answer, Pak Irwin.
Christopher Kusumowidagdo: Thank you, Antony. Pak Irwin, do you have any follow-up questions?
Unknown Analyst: No, thank you. Everything's clear.
Christopher Kusumowidagdo: Let's move on now to the next question. This comes from the line of Ranjan Sharma from JPMorgan. What is the -- there is one question. What is the difference between CapEx guidance in 3Q to the one in given in 2Q? And what is the capitalized CapEx for this year? I think for this question, I would like to invite Pak Antony again to address the question.
Antony Susilo: Okay. The -- yes, indeed, that the CapEx guidance for second quarter and third quarters, if you look at the figures, was different. I think the difference was because that initially in the second quarter, when we give the guidance around IDR 20 trillion to IDR 25 trillion, that one was on the early post-merger indication, where at that time, we use a PO issuance amount at around IDR 20 trillion to IDR 25 trillion that we want to spend for integration. However, I think we understand that we may want to use a capitalized CapEx instead of PO issuance. So in terms of capitalized CapEx, if we make some estimation this year, this year, approximately around IDR 10 trillion. So we are not changing the -- or making a revision on the CapEx amount. It's -- the amount is still the same in terms of PO issuance around that, IDR 20 trillion to IDR 25 trillion. However, capitalized CapEx is around IDR 10 trillion. For -- I think for Q3, I think we already booked capitalized CapEx around IDR 4 trillion to IDR 5 trillion. So the remaining IDR 5 trillion maybe comes in the Q4 2025. That's the answer Pak Sachin.
Christopher Kusumowidagdo: Thank you, Pak Antony. Sachin -- sorry, Ranjan, do you have any follow-up question?
Ranjan Sharma: Can I just check one more thing? Did you say you're looking to pay a dividend? Because in the last quarter, you were saying you will not pay dividend for 2 years.
Antony Susilo: Yes, indeed, indeed. I think -- correct, I mean, we -- I think I remember last quarter, we think that we will not be able to pay dividends next year actually. Because the company, if you look at the PAT numbers is negative, right? So we will not be able to give a dividend next year. However, we see that there is an opportunity for us to give the dividend distribution this year. Because our -- basically, dividend normally is following the previous year profit, right? So I think if you look at the -- also following the OJK regulations, that we are allowed to give a dividend within this year. So with that consideration from the OJK regulations, from the company performance, the cash situations, so we decided that to give distribution -- dividend distribution to the shareholders. So -- but of course, this is subject to approval from the shareholders here next week.
Ranjan Sharma: Sorry. So you're not looking to pay a dividend next year, but you want to pay a dividend for this year?
Antony Susilo: Next year, unfortunately, looking at the numbers, we are not allowed to. Because it's a negative retained earnings. At this moment, Q3, I think we see that PAT is negative, right? So we will do it this year. So it's like maybe we can say as an acceleration.
Ranjan Sharma: Okay. It's interesting because if I look at your balance sheet and your cash flows, they don't seem in the best position, right? So I'm just surprised to hear you're looking to pay a dividend.
Antony Susilo: Well, from our point of view, when we look at our balance sheet cash flow also, I think we are still in the safe position. Like, for example, the gearing ratio, I think we are still below 4. So I think there is -- I mean, by giving this dividend distribution, we are not impacting to any -- to the ratios of the company. So with that one, I think we can -- we are able -- we have some capacity -- we have capability to pay dividend.
Christopher Kusumowidagdo: The next question comes from Sachin, Sachin Mittal from DBS. So does revised lower CapEx include integration CapEx? I think this has -- yes, I think Pak Antony has already addressed on CapEx, but you might want to clarify whether this includes integration CapEx, Pak Antony?
Antony Susilo: This CapEx, yes, includes integration CapEx. But again, like I mentioned, we don't make any revision on the CapEx amount. It's only that we -- now we are using capitalized CapEx instead of the PO issuance. I hope that one can answer, Sachin.
Christopher Kusumowidagdo: Thank you, Pak Antony. Sachin, do you have any follow-up questions to the management?
Sachin Mittal: Can you hear me now?
Christopher Kusumowidagdo: Yes.
Sachin Mittal: Okay. So I understand that you're taking now, longer time to basically to incur the CapEx. Again, I want to understand a little bit of what is the normalized level of CapEx because there is some integration CapEx involved, right? So how much is -- how do we think of the normalized CapEx? Because it seems like you're talking of now, 10 and 10, right, each year, FY '25 and FY '26. Is that the right way to think about it?
Antony Susilo: For the integration CapEx, yes, we can say that. Although actually, the IDR 20 trillion, IDR 25 trillion over there is also consists of BAU CapEx. Some of them, yes.
Rajeev Sethi: If I may just jump in here, Pak Antony. I would not want to classify this as integration CapEx because the -- as I think we spoke about last time also, it's just not about combining the two networks together where we are spending most of the money. It's readying the network for future, i.e., 5G, for example. So whatever network we are readying, it's readying for future. So it's very difficult to classify and say this is because of integration or this is for modernizing the network. The outcome would be a brand-new network ready for future. So that's one point. The second part is there is no change in the CapEx plan. It's just the way we were stating it earlier. When we spoke about CapEx earlier, IDR 20 trillion, IDR 25 trillion in 2025, it was largely the ordering amount. And that quantum of orders will go out during the course of this year. What we'll be able to put on here and capitalize, there is a process of getting the material in-house, putting it on our site, doing those acceptance tests, that will be around IDR 10 trillion, which again is as per the plan. It's only that earlier when we spoke about, we did not clarify that this is the ordering amount, the capitalization amount would be lower. So that's the second part. And I think one more part of your question was how much will this normalize into. I think after the integration phase is over, after the entire modernization is over, which should be done by -- largely by 2026, I think it will go back to a regular mid-teens level. That's the number which we anticipate in the long term.
Christopher Kusumowidagdo: Thank you, Pak Rajeev. Let's move on to the next question. Sorry, Sachin, do you have any follow-up question before we move on? I think you have one question, follow-up on ARPU, please?
Sachin Mittal: I mean, it's -- how are you seeing -- your subscriber decline was noteworthy, while other -- your peers did not see the subscriber decline. Was it too much sharp hike? And what does it mean for you in the current quarter?
David Oses: Yes, correct. So -- and if you take a look to the subscriber changes, yes, with competitors and also ARPU changes, I think our ARPU growth, it's significantly higher than our competitors. Also, our subs decreased. As I was mentioning before, our ARPU increase comes mostly -- more than 50% from the yield increase. So we are able to monetize better the gigabytes and part also from the usage increase. Is it too much? No, it is not. Actually, again, you can see in the results that it's going in the correct direction. So those subscribers that we lost are -- I don't want to call them a user because they were using the portfolio that we have given to them, right, but are subscribers that were very low ARPU and/or very low yield. So those are subscribers that in our newer strategy don't have a fit in our company. Probably, they found somewhere better where they can -- at those low yields, et cetera, they can fulfill their needs. But I think our strategy is very clear, go for value subscribers. Having said that, again, in quarter 4, we expect -- we hope that the ARPU will keep increasing and that our strategy will keep moving in the same direction. As I was mentioning before, we already have aligned many price changes increases that we are going to implement in the coming days, and that some of which we have already been doing also in the personalized tiers, et cetera.
Christopher Kusumowidagdo: Thank you, Pak David, for the clarification. Any follow-up questions?
Sachin Mittal: No.
Christopher Kusumowidagdo: Now let's move on to the next question from Henry Tedja from Mandiri Sekuritas. There are two questions. The first one, what is the -- what are the three drivers of purchase of bundled device and the software increase under the interconnection and other direct expenses? I think this is under the COGS. And second question is, could you share more details regarding the accelerated depreciation expenses increase? What kind of assets that drive the increase? I would like to invite Pak Antony to address the questions.
Antony Susilo: Pak Henry, I think on the first question about the -- what are the key drivers for the increase on the COGS specific to the bundled device, I think as we explained, I think Pak Rajeev already explained that the company now focusing to the Enterprise segment. So like again, I explained, Enterprise segment contributes around 10% of the total XLSMART revenues. So because of this focus expanding this business segment, so we are sort of like have to purchase this device as well as the software to one of our enterprise clients. So of course, this, of course, is along with the increase of the revenue from the Enterprise as well. So I think that's on the explanation for number one. And number two, regarding the accelerated depreciation expense. Yes, I think this accelerated depreciation expense was -- resulted from the -- one of the example is the 900 megahertz spectrum. Because as we know that the company have to return the 900 megahertz spectrum to the government by end of 2026. So with that one, all the assets or the -- any equipment which is associated to 900 megahertz, we have to sort of like making an accelerated depreciation. And also another example also, we know that the company already choose the vendors to do the integration as well as the modernize the network, so -- which is the vendor is ZTE as well as Huawei. So the vendors that currently the existing equipment, which is not this ZTE or Huawei vendor, we have to do some dismantling. So we will not use this asset anymore. So with that one, we have -- also have to do some accelerated depreciation. So I hope that one can explain to you the nature of accelerated depreciation, yes. Why is it increased? Because we have to do it earlier, faster than the -- let's say it's supposed to be another 6 years, but now we have to do it within by end of 2026. Is that answering the question, Pak Henry?
Henry Tedja: Perhaps if I can have two or more -- three questions. The first one, I guess, regarding the integration costs. I think you mentioned earlier that this year, the budget or the target will be IDR 1.5 trillion. So I'm just curious, how about next year? What will be the target for the integration cost next year and also for the accelerated expenses? And then the second question, I think regarding the CapEx, just to want to clarify. So does that mean out of IDR 20 trillion to IDR 25 trillion that was guided like the previous quarter, IDR 10 trillion will be capitalized and the rest will be expensed for this year? So that will be booked under the cash OpEx? And then perhaps the third one to Pak David. I think earlier, Piyush has asked about the latest economic trends. So I'm just curious how do we see the purchasing power in the last few weeks or in the last few months? So I think those are my three questions.
Antony Susilo: Okay. Let me answer first on the question on the integration cost for the next year, yes. I think like I mentioned that I think the integration cost still continue until end of 2026 or maybe first quarter '27. So the amount of the integration cost, I will say that we don't have the numbers at this moment because we are still calculating the BP for 2026. But I think let's assume the same similar number, what we project. If let's say, this year is IDR 1.5 trillion, maybe approximately the same numbers, integration cost for next year. So that's on the integration cost. And then the second question is about -- second question, Pak Henry?
Henry Tedja: Yes. The second question regarding the CapEx, you mentioned that some of the all capitalized. So I just want to clarify on that.
Antony Susilo: Yes. So the PO amount, yes, it is around 20 to 25, but the capitalized CapEx is 10. But the remaining actually will not be -- we will not expense this. Or we call it as cash OpEx, no. But the remaining, I think, will happen -- will be materialized next year. So next year will be -- this sort of like will be carry over to next year, the remaining instead of OpEx. Still capitalized CapEx. Okay? So the next question.
David Oses: Regarding the economic situation on the consumer side, to be honest, I mean, you can see the results. So for us, the last few months have been positive. I think we see a little bit more of confidence in the consumers, a little bit of [ reparation ], in that sense.
Christopher Kusumowidagdo: Thank you, Pak David. Pak Henry, any follow-up questions?
Henry Tedja: No. Thank you, Pak Chris. I think everything is clear. All the best for the management.
Christopher Kusumowidagdo: All right. Now let's move on to the next question. I think we have the question from Arthur Pineda from Citi. There are one question. There is one question. Can you please remind us about your dividend policy? And do you pay this out of retained earnings or reported earnings? I think maybe, Pak Antony, you can clarify this later on. In addition, what are the considerations for paying for the dividend given that the company is targeting IDR 20 billion to IDR 25 trillion, which is above the operating cash flow? Pak Antony, maybe you would like to address this question.
Antony Susilo: Okay. I think we know that our long-term goal is to deliver sustainable shareholders' returns. So I think looking -- as I already explained that the company show a negative PAT, not normalized PAT and the negative bottom line. So with that one, we expect that I think next year, there will be no dividend. So we think that we want to give the dividend within this year while we still can, still following the regulations. So I think with that one, with that consideration and also, of course, looking at our free cash flow and everything, balance sheet, I think it's doable from our side. I think when you mentioned about the IDR 20 trillion to IDR 25 trillion is above PCF. I think, again, like I mentioned, this IDR 20 trillion to IDR 25 trillion is a PO amount that we issued. But again, capitalized CapEx is only like half of it that we booked to our CapEx. This -- what you call, this year will be around IDR 10 trillion. And then from that one, actually, what I would like to say that we get soft payment terms from the vendor itself. So the IDR 10 trillion, although we separately capitalize it this year, we may not need to pay IDR 10 trillion to the vendors. So I think there are some agreement already from the -- from the vendor on the payment terms. So I think with that one, I think we are hoping that all of the shareholders agree for us to give the dividend distribution this year.
Christopher Kusumowidagdo: Thank you, Pak Antony. Arthur, any follow-up question?
Arthur Pineda: Just wanted to clarify with regard to the cash flow implications on CapEx. I know you mentioned IDR 10 trillion will be booked for this year and the PO is IDR 20 trillion to IDR 25 trillion. I'm just trying to figure out from a cash flow standpoint, how do we view this? The balance of around IDR 15 trillion, is that paid '26, '27? I'm just trying to figure out what it looks like from a cash flow standpoint.
Antony Susilo: Yes. I think more or less, the payment will be done next year. But I think from the next year point of view, if I look at the capability from our side, let's say, we can generate like IDR 20 trillion cash flow from operation next year. So I think we are able to pay this CapEx PO. So I think well, maybe we may need to do -- bank some of the borrowings from the banks, but the amount may be not as big as like this CapEx because the plan to fund this PO from this CapEx will be funded majorly coming from our internal cash operations because we are able to generate like IDR 20 trillion per year.
Arthur Pineda: Understood. I was just wondering in terms of the decision to pay the dividend now, given that I think there will be spectrum auctions coming up as well. How do you balance the deleveraging of the company and having the cash available for items like spectrum versus paying dividends upfront? I'm just wondering what the philosophy is and why pay now, given that there's still auctions coming?
Antony Susilo: It's now or never. I think like I mentioned, next year, it will be difficult for us to give dividends. So the chance, the window of opportunity to give dividend only this year. And looking at the -- again, for me, I reemphasize that looking at our balance sheet, our P&L, our cash flow, it's doable. We can do it this year because like I mentioned also maybe the cash balance at this moment today, we have -- we are sitting like around IDR 4 million, almost IDR 5 trillion. This is our cash balance. So we are able to distribute the dividend. And the gearing ratio, I think, yes, we are still in the reasonable amount. We -- of course, we still monitor this, make sure it is not going to be beyond 4x, the gearing ratio. So with that consideration, that's why we are -- our intention, I think we can give dividend to the shareholders.
Christopher Kusumowidagdo: Now let's move on to the next question From Bob Setiadi from CGS. Can you discuss about the accelerated depreciations? Are we going to see depreciation run rate in third Q for the next 6 quarters? Pak Antony, yes.
Antony Susilo: Yes. I think, Bob, the accelerated depreciation, as I explained earlier, that this is related to the asset that we have to -- we will not use in the next -- after the integration, which is maybe one of the example, the 900 megahertz and also the other vendors, which is not being chosen one. So we have to do this accelerated depreciation because we will not use it. So are we going to see the depreciation run rate in the third quarter -- in the next 6 quarters? The answer is yes. By the end, I think until the integration period is over, expect hopefully, by -- hopefully, I would say by end of the December '26, next year, it's over. Then starting 2027, everything will be normal -- back to normal.
Christopher Kusumowidagdo: Okay. Bob, any follow-up question for us? All right. Next question comes from [ Andy Kurniawan ]. So there are two questions. The first one is, can you share about the ARPU increase in average from your 3 brands, respectively? Was Smartfren increasing more by ARPU compared to your other brands in third quarter? And second one, has your subscriber decline Q-on-Q due to focus on quality subs? Can you share which brand that gave the contribution to the subscriber decline? Pak David, I'd like to invite to address.
David Oses: Yes. So it's going to sound like a normalized answer, but to be honest, no. So Smartfren was not the one increasing more, the ARPU, and all the 3 brands have been in the same direction, both in the ARPU increase as well as in the subscriber rationalization. So we will have one of the brands with more or much higher percentage of the subscribers that left or the low-value subscribers. So it's been quite -- let me put it this way, democratic, both the ARPU increase as well the ARPU increase, the yield increase as well as the subscriber rationalization.
Christopher Kusumowidagdo: Andy, do you have any follow-up question?
Unknown Analyst: No, thank you.
Christopher Kusumowidagdo: Let's move on to the question from Norman from CLSA. Congrats on strong ARPU uplift. First one on accelerated depreciation and impairment. Will we see more being booked in 4Q 2025? Second one is on OpEx. 10% Q-on-Q increase is quite significant. Is this a normalized quarterly run rate? Or we should expect some increase? For these two questions, I would like to Pak Antony again to address.
Antony Susilo: Okay. Thank you. So Norman, I think on the first question on the accelerated depreciation, a similar question with the Bob Setiadi question. I already explained that, yes, I think in the next quarter, Q4 2025, the accelerated depreciation still continue even further until next year. Because, again, integration period is 8 quarters. That's why please expect that there is an accelerated depreciation until the end of the integration exercise is completed. And then on the second question on the OpEx, I think, yes, but the increase of the OpEx is mainly because of the, number one, that recall in the last quarter was only like 0.5 month's of Smartfren expenses was not there. And the second one, of course, this quarter-on-quarter because of -- mainly because of the integration costs that we have to book in the Q3 2025. But of course, once this integration cost is over, which is -- I think we can see that the integration costs in the previous -- in the slides that it was around IDR 800 billion already booked by September 2025. So by the time that this is -- integration cost is no more -- is already over, then our OpEx amount will become stable and our EBITDA margin hopefully can increase from time to time. So I think that's the explanation, Pak Norman.
Norman Choong: I think on the first question, where I'm coming from is mainly because I saw the accelerated depreciation run rate was like IDR 700 billion last quarter. Now it's IDR 1.8 trillion this quarter. I'm just wondering, the first is why don't you just book everything within the short term? Or is it not doable because you are still removing asset? Second thing is I'm just trying to figure out when you say there's more coming, would we get a sense of like roughly how much? Or profit is really not a priority during the integration period?
Antony Susilo: Yes. I think, yes, it was quite a surprise maybe to look at the first quarter, IDR 739 billion and then second quarter, IDR 1.8 trillion, I think. But I think my estimation that -- if you look at the numbers, I think more or less, this IDR 1.8 trillion already represent, what you call, represent the numbers for a quarter. But I don't want to say that this IDR 1.8 trillion can go up further. But actually, as a matter of fact, these numbers will go down. Because if there is a site -- there is an equipment where we dismantle faster, then we actually have to write off the assets immediately. I mean, we have to stop the depreciation. So that's the reason I think in Q3 was quite high because actually some of the assets, some of the equipment already dismantled, already turn off, and we cannot make depreciation. So we have got -- so from the 6 years immediately, only like 6 months, for example, that's the accelerating depreciation. So what I'm saying that in the next quarter, I'm hoping that these numbers -- of course, at this -- maybe next quarter still remain the same, but I think the following quarter, hopefully, because the equipment already -- most of them already dismantled, so it will be tapering down to a smaller amount. So to give you rough figures, maybe this year, maybe we will end up like IDR 4 trillion, plus/minus. And I think just to give you an emphasize that this accelerated depreciation is a noncash item.
Christopher Kusumowidagdo: I think we still have time for one more question. I think one last question, we'll just address from John Te from UBS. That will be the final question. John, do you want to have your question to the management?
John Te: Yes. I have two questions, if you don't mind. First is, I just want to understand maybe where we are in terms of site dismantling. So you mentioned 15,000 already done, and that's 1/3 of the base. Firstly, what is that base? Is this the -- is the 45,000, give or take, an end figure of the combined sites that you have? Or is this pertaining to another number? Second question is, perhaps we can clarify the IDR 500 billion. In terms of integration costs, how much of that would be for personnel and how much of that would be for site dismantling? Because I understand these two are the largest cost drivers for integration charges. The third one being personnel costs, I think the run rate has stayed at IDR 1 trillion, unchanged from the second quarter despite, I guess, some integration. Any comments on how you think of personnel costs as a percentage of sales or maybe the absolute number itself?
Christopher Kusumowidagdo: Thank you, John. I think I would like to invite Pak Rajeev to address the first question on site dismantling.
Rajeev Sethi: Sure. Just to refresh the memory, when we started this journey, XL Axiata legacy had around 43,000 sites and Smart's sites were around 22,000. Put together, around 65,000 sites, 65,000, 66,000. As we said, between 15,000 to 20,000 of those sites will not be required, which will feed into our synergy savings, which will mean that the end number of sites based on this part of integration would be closer to 50,000 sites. And against that, we are talking about 15,000 sites, which is just short of 1/3 of that number. So that's the number of 15,000. Ending number would be around 50,000 for this space. The second question was about the integration cost of IDR 1 trillion which has been incurred so far. And I think Pak Antony mentioned, we expect another IDR 0.5 trillion for the remaining part of the year. And this is a number which we shared earlier, IDR 1.5 trillion would be the integration cost for 2025. You're right. Most of this is people and the network integration. Unfortunately, I don't have the details to share further. But as you would know that the people integration project would be over hopefully by the first half of next year. We are running that process now, and then this will be a regular run rate. We do not try and drive the people cost as a percentage of revenue as a big driver. I think as management, we believe that people are -- good people are really important for -- in our line of business, in our consumer business. And we'll have an appropriate cost as we move forward. We really not want to benchmark that with other players, but we'll pay the right amount of money for the best quality talent which you can acquire. This was the second part. What was the third one, please? John, was there a third question?
John Te: Yes. Well, that was related to the IDR 1 trillion in personnel costs quarterly run rate, but I think you managed to answer that in the previous question. If you don't mind me clarifying just one point that someone raised earlier, it's mid-teens CapEx as a target after the integration. By mid-teens, is this mid-teens CapEx to sales or mid-teens in absolute trillion rupiah?
Rajeev Sethi: No, I think mid-teens absolute rupiah would be a bit too high. It will be mid-teens as a percentage to the revenue.
Christopher Kusumowidagdo: All right. Thank you. Thank you, John. Thank you, Pak Rajeev. And ladies and gentlemen, that concludes our today's conference call. Thank you once again for joining us today. If you have any follow-up questions, please reach out to our Investor Relations. Stay safe and healthy, and we look forward to speaking with you next quarter. Thank you.
Rajeev Sethi: Thank you.